Operator: Good afternoon, everyone and welcome to Associated Banc-Corp’s Second Quarter 2020 Earnings Conference Call. My name is Devon and I will be your operator today. [Operator Instructions] We will be conducting a question-and-answer session at the end of today’s conference. Copies of the slides that will be referenced during the call are available on the company’s website at investor.associatedbank.com. As a reminder, this conference call is being recorded. As outlined on Slide 1, during the course of the discussion today, management may make statements that constitute projections, expectations, beliefs or similar forward-looking statements. Associated’s actual results could differ materially from the results anticipated or projected in any such forward-looking statements. Additional detailed information concerning the important factors that could cause Associated’s actual results to differ materially from the information discussed today is readily available on the SEC website in the Risk Factors section of Associated’s most recent Form 10-K and subsequent SEC filings. These factors are incorporated herein by reference. For a reconciliation of the non-GAAP financial measures to the GAAP financial measures, mentioned in the conference call, please refer to Page 23 on the slide presentation and to Page 10 on the press release financial tables. Following today’s presentation, instructions will be given for a question-and-answer session. At this time, I would like to turn the conference over to Philip Flynn, President and CEO for opening remarks. Please go ahead, sir.
Philip Flynn: Thanks and welcome to our second quarter 2020 earnings call. Joining me today are Chris Niles, our Chief Financial Officer and Pat Ahern, our Chief Credit Officer. Associated had an unusual, but successful second quarter. I am proud of how my thousands of colleagues have responded to the challenges. We focused on protecting the health of our customers and colleagues while meeting the needs of our customers. We met those needs with PPP loans, payment deferrals, fee waivers and the distribution of stimulus funds. We ensured our ability to meet the future needs of our communities and customers with a significant increase in our capital through the sale of Associated Benefits and Risk Consulting and a preferred stock issuance. We have seen record inflows of deposits and have abundant liquidity. With the revenue challenge brought on by near zero interest rates, we managed our expenses down. While no one could predict the ultimate impact of the COVID pandemic on credit, we saw some encouraging early signs from our borrowers. So, let’s look at our financial results. Turning to Slide 2, our second quarter GAAP earnings were $0.94 per share, including the $163 million gain on sale of Associated Benefits and Risk Consulting. Average loans grew considerably during the quarter largely driven by PPP loans and commercial line draws. Loan funding along with government stimulus programs and overall increased savings rates led to higher deposit balances as well. Our loan to deposit ratio was 94% at the end of the quarter, 90% without PPP and 61% of our total deposits were made up of low cost deposits. While we haven’t seen significant changes in credit metrics yet, our reserve for loan losses increased $35 million during the second quarter. And as of June 30, our allowance for loan ratio was 1.73% or 1.8%, excluding PPP loans. The sale of ABRC and the issuance of $100 million of preferred stock lifted our capital ratios. CET1 increased 89 basis points from the first quarter to 10.25%. Our tangible book value per share also increased moving up 11% from last quarter to $16.21. Average loan balance trends are shown on Slide 3. Commercial and business lending grew nearly $1.7 billion, driven predominantly by PPP loans and active mortgage warehouse market and increased draws on general commercial lines of credit. While we saw unusually high commercial line draws at the end of the first quarter, as the second quarter progressed, these lines paid down. Growth in CRE was primarily driven by new loans plus continued funding of construction loans. On average, residential mortgages declined during the second quarter as we continued to sell new production and some portfolio loans to the agencies. Turning to Slide 4, we show end of period loan trends, which will highlight second quarter activity. We ended the second quarter with $24.8 billion of loans, a net increase of $467 million from the first quarter. Included in these balances was over $1 billion of outstanding PPP loans. This was partially offset by $559 million of pay-downs on general commercial lines during the quarter. We view the repayment of these lines as a sign our customers have a more optimistic outlook regarding their liquidity than they did at the end of the first quarter. As previously mentioned, our commercial real estate portfolios continued to grow during the quarter. At quarter end, we still had nearly $2 billion of unfunded commitments, which we expect will continue to fund up over the balance of 2020 and into 2021. We expect to continue to grow our commercial real estate balances over the course of the year. Turning to Slide 5, let’s look at our portfolio composition at the end of the second quarter. In the second column, we identified our key COVID loan exposures, which I will highlight on the next page. We have also broken out our deferred loans and our non-accrual loans, which remain minimal. As the pandemics impact on the economy expanded during the second quarter, we responded to our customer’s needs by underwriting PPP loans and by deferring and modifying certain loans as shown on Slide 5. Approximately, 35% of key COVID commercial loan exposures have received a modification or deferral, 19% received the PPP loan and 4% received both. Now, let’s look at our key COVID commercial loan exposures on Slide 6. This is an update of the slide we introduced in the first quarter. We continue to monitor risks in the loan portfolio. The table on Slide 6 details our exposures to several categories of commercial loans potentially impacted by COVID-19 and lower hydrocarbon prices. The $2.2 billion represents less than 9% of outstanding loans at the end of the second quarter. Making up 5% of our loan book, retailers and retail commercial real estate remain our largest area of exposure. $664 million of these loans are to retail real estate, of which the majority is collateralized by malls, shopping centers and non-grocery store anchored strip centers. These loans had an average loan-to-value ratio of approximately 57% at originations providing a significant cushion for potential deterioration. We would highlight, amongst our retail-oriented REITs, which are predominantly investment grade credits, balances paid down about $54 million from last quarter to about $400 million. Oil and gas loans also declined $35 million from last quarter and account for 1.7% of our loan balances. In the second quarter, we grew reserves further on this portfolio. Despite the price of oil creeping back up from the first quarter, we still remain concerned about the outlook for this industry. Outside retail and oil and gas, our immediate exposure is limited. Hotels and restaurants are our next largest portfolios and each of these categories represents less than 1% of total loans. Overall, we believe our exposure to COVID-affected industries remains manageable. We are seeing positive dynamics and our exposures remain relatively unchanged quarter-over-quarter. Now, let me comment on our COVID relief efforts for our commercial customers highlighted on Slide 7. At June 30, we had just over $820 million of completed commercial loan deferrals. The loan deferrals included $638 million of commercial real estate, primarily comprising the hotel, retailer barrowers representing about 11% of the commercial real estate loan book. Commercial and business lending had $184 million of deferrals or about 2% of that book. New commercial loan deferral requests slowed as the quarter progressed and many customers with deferrals ending in June have not asked for additional assistance. Our consumer-related COVID relief efforts are highlighted on Slide 8. We finished the second quarter with $725 million of consumer loan deferrals or 8% of the total residential and consumer loan book. New deferral requests have slowed substantially since the peak in May and essentially ceased since the latter half of June. We also supported many of our customers who waived or refunded fees during the pandemic. Since implementing our COVID-19 relief program, we have refunded or waived nearly $2 million in fees for consumers and small businesses through June 30. Turning to Slide 9, early signs are positive, as many customers who received payment deferrals are returning to normal payment structures. Despite having been granted payment waivers, about 27% of consumers with completed loan deferrals have made at least one subsequent payment. In corporate banking and small business, $46 million of loan deferrals ended during June and of those, over 90% of customers are expected to resume making payments. Based on early discussions, we expect nearly all of the remaining customers with deferrals in corporate banking and small business to return to making payments. Commercial real estate had $116 million in loan deferrals expired during June. About half of those customers are expected to start making payments again. The other half consisting neither of hotels or retail properties have requested further extensions. Of the additional loans on deferral, we expect about one-third of these customers to require some form of assistance with the majority being in the hotel sector. Turning to Slide 10, you can see we have built reserves by about $35 million during the second quarter. This brings our total allowance to $429 million at the end of June. Our reserve covers 1.7% of total loans, or 1.8% excluding PPP loans. We have modeled our reserves against the June Moody’s baseline with our own qualitative overlays. Additional reserves were set aside for certain industries affected by the COVID-19 pandemic. Reserves on COVID-affected loans covered 6.2% of loan balances compared to about 1.4% for non-COVID affected loans. As you can see, the bulk of our reserve build is attributed to commercial real estate and oil and gas. During the quarter, we built up our CRE reserves by $27 million, reflecting the increased risk profile we see in our retail and hotel portfolios. Additional reserves were also built up on oil and gas loans, which increased by $6 million and now cover 19.4% of the portfolio. Turning to Slide 11, you can see our credit metrics have drifted up slightly, but remain fairly stable. Potential problem loans increased $73 million driven by general C&I and commercial real estate within the key COVID commercial loan exposures portfolio. Non-accrual loans increased $35 million, but are only slightly elevated over the second quarter of 2019. $21 million of the increase came from oil and gas, with most of the rest coming from commercial real estate. Our net charge-offs continue to be almost exclusively in the oil and gas space. Our oil and gas reserve increased 273 basis points from last quarter. The loans in this portfolio are all shared with other banks and our high level of reserves reflects a conservative view of the ultimate outcome for some of these credits as we wind down the business. Turning to Slide 12, average deposits were up nearly $1.9 billion or 8% over the first quarter. Most of this growth came from low cost non-interest-bearing checking accounts and savings accounts. Deposits remain elevated due to PPP loans staying in accounts, government stimulus money and generally higher savings rates amongst consumers. Our low cost deposit mix continues to improve as these balances made up 61% of our overall deposits at the end of the second quarter. Turning to Slide 13, second quarter net interest income was $190 million and year-to-date margin came in at 2.66%. Pressure on the margin is being driven by asset yield compression relative to our ability to reduce liability cost as a result of debt cutting rates to near zero. Total cost of interest-bearing deposits dropped to 25 basis points in June as we reduce pricing across the board. While second quarter NIM declined 35 basis points from the first quarter, we expect NIM to stabilize in Q3 and recover somewhat in Q4. Total interest-bearing liabilities totaled 57 basis points in June driven by the remix of our deposit base and interest rate reductions. Turning to Slide 14, second quarter non-interest income came in at $254 million. The mortgage business remains active resulting in an increase of $6 million from the first quarter. Gross mortgage banking income was $20 million offset by $8 million of MSR impairment resulting in $12 million of net mortgage banking income. We saw a decline in service charges and deposit account fees during the second quarter of about $4 million driven by less customer and economic activity during Q2. We expect the activity to recover as we go through the year. The gain on sale of assets was $157 million during the quarter. We have further broken that down on the next slide. We closed the sale of ABRC on June 30. The sale resulted in $266 million of proceeds and a GAAP gain of $163 million after personnel and transaction costs were accounted for. The net after-tax gain was $104 million and second quarter earnings per share, excluding the gain, was $0.26. Separately, we recognized about $6 million in losses on non-AVRC related write-downs. The bulk of this was driven by the write-down from an equity interest in a company related to a restructured oil and gas loan. Turning to Slide 16, we look at our customer activity. Branch activity has slowly started to come back since April. However, customers have moved away from using the lobby and continue to use the drive-throughs. Prior to COVID, about 65% of transactions took place in the lobby, but this has shifted to only 30% as of late. Customers are also resuming normal spending levels as debit and credit card spend increased 23% from April to June. During the COVID outbreak, we have seen a strong shift to mobile banking. Even with branch lobbies reopening, active mobile application users have increased 15% from January to June. This is a positive trend, which we feel will provide efficiency opportunities in the long run. On Slide 17, you can see our continuing downward trend of expenses. Total non-interest expense was $183 million, down $9 million from the first quarter. The decrease in expense was spread across several categories. Personnel expense was down $3 million due to lower benefits, fringe and equity plan expenses partially offset by higher commissions. Occupancy was down $2 million since we weren’t plowing snow. Business development and advertising were down $2 million as we had less business travel and marketing activity during the quarter. As shown on Slide 18, our regulatory capital levels remained strong. The sale of ABRC added 41 basis points to our CET1 ratio and 27 basis points to our TCE ratio. Overall, CET1 increased to 10.25% from 9.36% in the first quarter. Our tangible common equity ratio also increased to 7.25%, up from 6.9% in Q1. As I mentioned, tangible book value per share is now $16.21, up 11% from the first quarter. We expect capital to continue to build through the remainder of 2020. Finally, on Slide 19, we discuss our outlook which includes several updated items. We expect our margin to stabilize in Q3 and to improve in Q4 as we see PPP loans pay-down. For the full year, we expect our margin to come in between 2.55% and 2.6%. This assumes the pay-down of our PPP loans in Q4 in early ‘21. Mortgage banking will continue to be elevated in Q3 and service charges will start to return to normal levels as COVID-related fee waivers have expired and consumer activity continues to pick up. Our quarterly expense run-rate is expected to be about $175 million due to $15 million in quarterly expense reductions from the sale of ABRC. With an outlook for low rates stretching through next year, we are currently taking a look at our expense base beyond our current guidance and we will have more to discuss later this quarter. Based on our expected view of economic activity within our footprint, we anticipate loan loss provisions over the second half of the year to be less than they were in the first half. And with that, we would be happy to answer your questions.
Operator: [Operator Instructions] Our first question comes from the line of Jon Arfstrom with RBC. Please proceed with your question.
Jon Arfstrom: Hey, thanks. Good afternoon.
Philip Flynn: Okay.
Chris Niles: Hey, Jon.
Jon Arfstrom: Just a big picture question, first, Phil. You talked about encouraging early trends and then I think another comment, you said positive dynamics. As you are just referring to some of the branch count and consumer type activity that you highlighted or are you talking about something else, some more activity and optimism with your commercial book – and commercial real estate book?
Philip Flynn: Well, it’s several things, Jon. So, certainly, the fact that debit and credit card usage has trended up pretty dramatically here over the last month or so is encouraging. But in particular, as we look at the 90-day deferrals that we gave at the start of all this, which were starting to expire in June and will continue to expire this month and next month, most of those borrowers who got deferrals are going back to making payments, which is very encouraging. Now, we are still waiting on the consumers who we gave six-month deferrals to, but more than a quarter are down even though they had deferrals been making payments. So, as we launched into this unusual situation of granting deferrals and waivers, we didn’t really know what to expect as we got to the back end of that, and we are certainly gratified that these customers are able to resume their normal payments.
Jon Arfstrom: And on oil and gas, I hate to bring it up because we get to talk about it...
Chris Niles: Go ahead.
Jon Arfstrom: Next quarter but…
Chris Niles: Fine.
Jon Arfstrom: It feels like with your reserve levels, some of the charges you have taken got to be close to the end of the pane on this in terms of at least impacting the quarterly provision and the quarterly run rate. What would need to change to make it worse in your mind? 
Chris Niles: Yes. It’s a good question. If you look at the level of reserves we have in addition to the charge off we have taken against the book that remains, we have got this portfolio marked at about $0.66 on the $1 roughly. It’s been interesting this last week as other banks have reported, that there is a real divergence of views on what is going to happen here. We had one peer bank make the decision to sell the large bulk of their energy portfolio and their reserve secured loans at a very significant discount, but not out of sight of where we have our bookmarked. And we had another peer bank which has much, much lower reserves against a much larger book, expressing a lot of optimism as we go through the summer into the fall re-determination period. So, there is really a wide spectrum of views on how all of this is going to turn out among banks. And we think it is been prudent as we have been marking this book down, taking charges, reserving substantially against that we should be very well positioned to your point to get through this without a hell of a lot more pain. It's been bad enough as it is. But I think we are in a pretty decent spot with the mark that we have today. 
Jon Arfstrom: Great. And then just one last one, I’ll take a shot at it. But Q3 provision I know it’s hard to project it. But what would be kind of the key drivers to your model assuming the economy is relatively stable in terms of driving the need for more call it economic factor reserve building?
Philip Flynn: Yes. So, you heard us express that, based on our assumptions, we think that back half of the year, provisioning will be less than the first half. And that’s based upon economic activity continuing as it is today and not having to experience widespread shutdown of economies in our footprint. So, absent that, we feel pretty comfortable with the guidance that we provided.
Jon Arfstrom: I know it’s tough but – alright, thanks guys. I appreciate it.
Philip Flynn: Yes.
Operator: Our next question comes from the line of Scott Siefers with Piper Sandler. Please proceed with your question.
Scott Siefers: Afternoon, guys. Thanks for taking the question. I wanted to ask one on the margin. You noted so stability which is definitely good and then the expectation for some recovery in the fourth quarter, and gathering that that’s based on the expectation for forgiveness of the PPP loans or at least that portion of them and the accelerated fee that you got there, how much of the notion of recovery in the margin in the fourth quarter is indeed based on that and what would happen to the margin ex any acceleration of PPP fees?
Philip Flynn: Sure. So, as we mentioned on Slide 19, we do expect PPP to pay down mostly in Q4 and then into early 2021. And on Page 4 of the press release tables, we show you the remaining unamortized PPP fee balance. So you can track it with us but Yes, we are saying mostly in Q4, so it’s half or more. And then the balance over to 2021, so you can sort of back into the rough number. I would note our guidance – I think we were – when we spoken probably back in May, we thought, it would stay above $260 million, but obviously since then the PPP program has been basically extended out, right. So instead of beginning to realize some of that in the Q3 period and then the rest of it in Q4 and less in 2021, we’ve had to push that out which is why our margin has trended over the lower – from our guidance perspective.
Scott Siefers: Yes. Okay. And I guess, what I’m getting at is just sort of the steady state margin. Do you think it’s – I know, we think it’s stable in the third quarter but presumably outside of PPP would that continue in other words, if we kind of reach a bottom for the margin?
Philip Flynn: No, I want to say the bottom is going to be hit in Q3, right. So on a month-to-month basis, June was a little worse than May, and it probably trends a little lower in July and then it starts to bounce up, right. So, it will find its absolute floor in Q3, probably not too far below where we are but pretty close. But it’s not stabilized, and then we expect it to bounce up as we move through the balance of the year. And the two factors there are, in Q4, the PPP pick up but also we are seeing spreads beginning to widen, right. So we will find our floor probably here in July and it’ll start moving back higher as we move through the rest of the year on spread widening and the PPP.
Chris Niles: And we’ve got…
Scott Siefers: Perfect.
Chris Niles: CDs which will continue to roll off and grind lower. So there will be some – some structural reduction of our liability costs just as longer dated deposits mature and get re-priced.
Philip Flynn: And as we know, the – I think we show you the average yield for the deposits was 28 basis points. And if you look at the slides, you will see the number for June was 25 so that the overall interest bearing deposit cost CDs and money market and checking continues to grind lower as well, which is why.
Scott Siefers: Yes.
Philip Flynn: again we will hit bottom here in July it feels like and then start moving higher from there.
Chris Niles: So even without PPP, we would be trending about where we are hitting now and maybe a little bit up as liabilities re-price.
Scott Siefers: Yes. Okay. Okay. That’s what I was getting at. So I appreciate that color. And then, final one just on the mortgage expectation, where your expectations for elevated mortgage revenues, are you guys thinking about that on the basis of the $12 million reported mortgage line or are you sort of thinking about it ex the MSR so like up of a base closer to $20 million.
Philip Flynn: So we have got, as we sit here right now, still have a $1.6 billion pipeline of mortgages to work through. So that’s the highest it’s been in two years as we sit here today; forecasting MSR impairment is always difficult because you got to pick a rate on a day.
Scott Siefers: Yes.
Philip Flynn: But one would hope we wouldn’t see an impairment like we saw at the end of the second quarter. So, we would be working off of more the $20 million number than the $12 million number hopefully.
Scott Siefers: Okay. Okay. Yes.
Chris Niles: Now because we have to figure in the year [indiscernible]
Scott Siefers: Yes, that’s as good a forecast as any in the mortgage business. So, perfect. I appreciate your guys’ thoughts.
Operator: Our next question comes from the line of Ebrahim Poonawala with Bank of America. Please proceed with your question.
Ebrahim Poonawala: Good afternoon, guys.
Philip Flynn: Afternoon, Ebrahim.
Ebrahim Poonawala: I just want to follow-up Phil in your response to Jon around this customer activity. Talk to us in terms of what it looks like in the markets, we have clearly seen an uptick in cases, lockdowns in certain parts of the country. Just when you think about your customers, your footprint, how do things look today relative to April, May and have you seen kind of a negative move in the last few weeks or are you seeing a steady return to normalcy? Just any color would be helpful.
Philip Flynn: Yes. So, rightly or wrongly, Wisconsin continues to have activity even though our COVID infection rates are as high or higher than they have been just because of, as you would recall the Supreme Court, throughout the government’s ability to control much. So, economic activity in Wisconsin continues, and as reasonably robust and then Minnesota somewhere in between here and Illinois because Chicago is still relatively locked down. So, we have got kind of a wide spectrum there. But our forecast is that things will continue as they are across the footprint. And perhaps a little more activity down in Chicago will lend itself to the assumptions that we made when we said provisioning is going to be less in the back half, correct, Chris? 
Chris Niles: Ebrahim, I may just add, if you look at the June unemployment rate data if you look at sort of the coast, you will find unfortunately places in the teens. But if you look at Wisconsin and Minnesota, you’re looking at eight handle unemployment. So, there is a pretty strong difference between the activity levels on the coast versus the upper Midwest.
Ebrahim Poonawala: Yes. That helps. And then, I guess just moving to. Go ahead.
Philip Flynn: No, I was saying, Minnesota and Wisconsin are the core of our market, and exposure, and activity and customer basis of course.
Ebrahim Poonawala: Understood. Understood. And I guess, just moving to Slide 16 and maybe this is a little bit a few quarters out, but I think you are very thoughtful in terms of how you’ve brought on expenses coming out of the large crisis as you now think about just the change in customer behavior, the digital adoption. How are you thinking about what this means for further rationalizing the branch footprint, the efficiency opportunities down the road?
Philip Flynn: Yes. So, as I mentioned, we are taking a look at the expense space and applying some of the learnings that we have had from – from this – particularly this work from home environment. So we have got a number of initiatives under way internally to figure out what work looks like for us as we go through the rest of the COVID period and thereafter. We are still operating from home. We don’t have people in our corporate offices, and then Chris, Brian and I are sitting here and there is probably 20 people when its normally 500 people in here. So we – and we don’t have any big plans to bring a bunch of people back. And the fact of the matter is the company’s operating just fine. We are processing a massive mortgage refi boom. All of that is going into our thinking about how we reduce our expense run rate going forward beyond what we have just guided. So we will have more information as we get into the quarter as we continue to work on this. There is also obviously opportunity to think about how we are serving customers. The mobile pickup, the online pickup, the fact that even now that we have opened our branches, people now are much more likely to go through the drive-through than come into the lobby. Presents a lot of different opportunities to think about how the model works going forward, and we are thinking through all that right now, Ebrahim.
Ebrahim Poonawala: Well, thanks for taking my questions.
Operator: Our next question comes from the line of Terry McEvoy with Stephens. Please proceed with your question.
Terry McEvoy: Hi. Good afternoon.
Philip Flynn: Afternoon, Terry.
Terry McEvoy: The CET capital up to 10.25% following the sale, and you said earlier capital should grow in the second half of this year. My question is, do you have a targeted capital level, you used to talk about that in the past and the reason I ask is that if we look at into 21, is it appropriate to think about buyback activities or can I think about putting them into our models if we are assuming a return to more normal credit trends?
Philip Flynn: Yes. It’s a little bit early to forecast that right now. Our capital is better. Given the uncertainties there out there, we have said that we are not going to buy back shares the balance of the year. And as we get toward the year end and we see what credit looks like and we see where our capital ratios sit. We will obviously take a look at that. But certainly as we sit today having significantly more capital, having a larger tangible book value and being awash in liquidity are good things.
Terry McEvoy: Okay. And then, as a follow-up question, in the first quarter the reserve build was mostly C&I and then as I look at the second quarter, it was mostly CRE. So when you think about the back half of this year and the prospects of incremental building do you think it will be heavily weighted toward one or the other or more of a an even split?
Philip Flynn: My guess is that I don’t know exactly how far it’s going to build, to tell you the truth. Because I think as we get toward the back half of the year, I would think some of the oil and gas stuff will resolve itself one way or the other although we are well reserved against that. So, when one thinks that we will have a lot of provisioning to do, but if I had to guess, I don’t think outside of oil and gas. We have a lot of stress in the commercial space, so if we are going to build, I am guessing it will be the retail oriented commercial real estate, whether it’s retailers directly or retail tenants in properties that’s probably where we would see it.
Terry McEvoy: Okay. Thanks, Phil. Thanks, Chris.
Philip Flynn: Yes.
Chris Niles: Thanks.
Operator: Our next question comes from the line of Chris McGratty with KBW. Please proceed with your question.
Chris McGratty: Great. Thanks for the question. Chris, maybe go back to the interest income for a second. Want to ask the margin question a little bit different. If we fast forward 6 months and PPP is behind us, how do we think about stability and ultimate growth in core net interest income, given that – given outlook for growth a little bit more on the deposit re-pricing and the full effect on loan yields?
Chris Niles: Yes. So, again, I would say, on the – a couple of things, right. So, on the loans side, we have a margin on most commercial credits as you can see from the tables that is approaching effectively the margin floor. So effectively, when we hit in Q3 here, LIBOR is at 0, so basically what we are earning is the “quoted spread to the customer” is effectively the floor. So that’s going to hit that floor. And the good news is, from our contractual structure, we have got LIBOR zero floors in there, so it’s not going to go lower. And so, along the loan side, we are kind of hitting the floor in July. And as we roll over renew and add new, we are getting a little bit more spread with each of those actions, so we assume the spreads will widen a little bit as we move forward. As Phil pointed our, you have got a back book of CDs that’s going to roll and continue to roll down. So as we look at our total deposit book, again, our cost is 28 basis points for the quarter, but the CD book was at 144. Well, that’s generally 1-year and in. If you look at our maturity detail that we disclosed in our call reports, you will see that. So, essentially that’s going to roll off and come down toward that 25 basis points. So that’s a real dollar savings that will just come in over the next 12 months and a lot of that in the next 6 months. So, you are going to see a role that’s going to be beneficial. And we will continue to work on other liability levers, and that sort of on the core loan and deposit side. And then, the PPP, we think again will be a positive that pops in Q4 now and then into Q1. So all of that together says, we should see core improving as we move through the year plus PPP.
Philip Flynn: And then to answer your question on NII, Chris, we have got a significant backlog of CRE, which will be funded up through this period of time well into next year. That’s going to help. We have got a residential mortgage boom, and we can choose whether we are going to sell some of that on to the agencies or perhaps portfolio some of that we are thinking through that at the moment. So we could get some growth there on NII. Of course it was a little harder to forecast right now, there’s just not a lot of new activity going on. People are not looking to change their banks. But assuming the economy continues along this path and slowly improves, we would expect to start to see commercial loan growth too as we get farther into the year and into next year. So, I think with the cost of funds continuing to grind down, funding up on CRE perhaps resi mortgage and then hopefully on commercial. We should start to see some consistent growth in NII as we get later into the year and then into next year.
Chris McGratty: Great. That’s very helpful. Thank you. If I could just ask one more on the deferral quarter end, can you speak to what – you might to different in round two, if there are round two in terms of re-underwriting the borrower that need a little bit more help? Thanks.
Philip Flynn: Yes. So it’s going to be very dependent upon the borrower circumstances. So, for example, in the hotel space, which is very small for us and we have got a couple of customers who have substantial outside resources. And so, we are hopeful there that we will be able to stretch out some of those loans and get through this period of time until they get their occupancy back up. The retailer stuff is highly dependent upon how people come back to retail stores. But early indications again are pretty good since people are generally getting through their deferral period and starting to pay. And again, a lot of our loans – bulk of our loans have substantial guarantors behind them as well. So, the initial push with the pandemic was, if someone needs a deferral, we will give it to them. But as we come up to that initial 90 days rolling off in June and going forward, these are turning into, but let’s have a serious discussion about what it looks like and where we have been and afterward to surprise, but would be pleased with the response that we have been getting. That’s why we have a general sense of optimism at this point about it.
Chris McGratty: Great. Thank you. And Chris, could you just repeat the fees like I was looking quickly through the deck, I didn’t see it the remaining PPP fees?
Philip Flynn: Yes. And there is – it’s in the press release table. Sorry, Chris, I wasn’t clear. It’s on Page 4 and it’s in the middle of the page and it says, Payment Protection Program fees net and that was $24 million at the end of June that have not yet been amortized in.
Chris McGratty: Alright. Awesome. Thank you.
Operator: Our final question comes from the line of Michael Young with SunTrust. Please proceed with your question.
Michael Young: Hey, thanks for taking the question. One in Q maybe just follow-up on the commercial construction book, it looks like there is about a 4.5% reserve there? Is that just an abundance of caution or should we read that to mean that what’s in that instruction book is maybe more in a higher risk segment maybe retail or hotel etcetera?
Philip Flynn: Look, I think, our CECL methodology borrowed heavily from our experiences in the last downturn and over time. So, construction loans have during downturns when where people have taken larger hits in the past. And our CECL methodology necessarily sort of looks at the last couple of recessions and factors therein. So, that’s partly the issue. And I think it was high on day one as you can see with one of the larger buckets where we increased our reserves on day one and it continues high because in those Associated Bank’s own experience and the industry’s experience that’s where when things go – construction projects stop. There is usually pain for all involved. And if the environment shifts on you as people are completing projects, the amount of time they may sit unutilized or underutilized, causes sometimes more challenges than other projects utilized or under underutilized causes sometimes more challenges than other projects that are already occupied, that are completed. So, that’s just good practice to have a little more reserves in that bucket.
Chris Niles: And Michael, to just give you a little color on what’s in there, 62% of loan production this year, which is mostly funding up this stuff is in either industrial or multifamily, very, very little in the retail space, which of course would be the riskiest phase.
Michael Young: Okay. That’s helpful. And maybe just a follow-up on the capital commentary, Chris, you made the comment that you expect capital to continue to build. I guess I am just trying to level set that against potential increases and non-performing assets as we move forward through the crisis. At what point will – do you think the risk weightings on those will increase and maybe offset some of the capital build that’s occurring naturally?
Chris Niles: Yes. So, I think there is a couple of things to keep in mind. So, we are assuming that a good portion of the PPP balances come off, so that’s a $1 billion. And even there is only half of it that comes off, and we are certainly thinking most of it does by the end of the year. That means our tangible assets are going to come down by more than $0.5 billion of that top, which means the tangible home equity issue would just naturally drift higher. In addition, as Phil mentioned, we are looking at lending that likely is looking reasonable to add to volumes before the end of the year. So, again, there will probably a slight positive, but not enough to offset the more than $0.5 billion of PPP that will come off. So, we will have a net improvement just because the balance sheet effectively shrinks. That will have less of an impact on the risk-weighted assets because what will be adding will be real commercial CRE 100% risk-weighted itself. And what’s coming off is zero risk-weighted stuff, but we expect to earn our dividend and more over the course of the back half of the year. And so, therefore, we will have capital accretion and net balance sheet shrinkage, which will contribute to higher capital ratios as we move forward.
Michael Young: Okay. Perfect. And one last just clarification just on the effective tax rate for the year, 26% this quarter, so that gets me to a pretty low tax rate in the back half of the year. I just want to make sure I am thinking about that correctly?
Philip Flynn: Yes. And we guided that – we think that – yes we have guided. We think it’s going to be less than 18%. It’s kind of a quirk of the way you need to account for the sale. So, we recognized the sale this quarter. So we have to sort of fully tax it at the full marginal rate. And because some of the ABRC acquisitions in the past were tax free acquisitions, we didn’t have tax basis in them the way we have on other deals. So the tax rate on that deal was a little bit higher than normal but as we move through the course of the year you have to average out to a normalized full year tax rate. And so you – it will just naturally come down over the subsequent quarters, and you will see the overall we expect to be something less than 18%.
Michael Young: Okay, thanks. That’s all for me.
Operator: We do have one final question coming from the line of Jared Shaw with Wells Fargo. Please proceed with your question.
Timur Braziler: Hi, good afternoon. This is actually Timur Braziler filling in for Jared. Two quick questions for me. One, on the CRE growth this quarter, I guess where are you seeing the incremental demand for CRE now? And I guess, is that – are those industries where you are seeing demand today is at kind of where you are expecting growth to come in for the rest of the year as well?
Philip Flynn: Yes. So that the growth you are seeing is generally construction loans funding up and construction loans that have completed, stabilized and flipped over into the investor bucket. So, this is stuff that was mostly originated a year ago. There isn’t a lot of new origination going on anywhere as you would expect. And the bulk of it is a – as I told, Michael just a minute ago was – is in the industrial and multi-family space.
Timur Braziler: Okay, got it. And then just as you look at the second round of deferral requests, will you be asking the borrower for something in exchange for that second round of deferrals, whether it’s guarantee or increased collateral or anything like that?
Philip Flynn: It completely depends upon the circumstances, like generally yes.
Timur Braziler: Got it. Okay. Thank you.
Philip Flynn: Yes.
Operator: There are no further questions left in the queue. Now I would like to turn the call back over to Mr. Philip Flynn for the closing remarks.
Philip Flynn: Okay, great. Well, we appreciate you all joining us today, and we look forward to talking to you again in October. As always, if you have any questions give us a call and as always, thank you for your interest in Associated.
Operator: This concludes today’s conference. You may now disconnect your lines at this time. Thank you for your participation and have wonderful day.